Operator: Welcome to Workday's Fourth Quarter and Fiscal Year 2019 Earnings Call. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of the call. And with that, I'll hand it over to Mike Magaro, Vice President of Investor Relations.
Mike Magaro: Welcome to Workday's fourth quarter fiscal 2019 earnings conference call. On the call, we have Aneel Bhusri, our CEO; Robynne Sisco, our co-president and CFO; Chano Fernandez, our co-president; and Tom Bogan, CEO, Adaptive Insights. Following Aneel and Robynne's prepared remarks, we will take questions. Our press release was issued after the close of market and is posted on our website where this call is being simultaneously webcast. Statements made on this call include forward-looking statements regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors and documents we file with the Securities and Exchange Commission, including our most recent quarterly report on Form 10-Q, for information on risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we'll discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Workday's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results, in our earnings press release and on the Investor Relations page of our website. The webcast replay of this call will be available for the next 90 days on our company website under the Investor Relations link. Also, the Customers page of our website includes a list of selected customers and is updated monthly. Our first-quarter quiet period begins on April 15, 2019. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2018. With that, let me hand it over to Aneel.
Aneel Bhusri: Thank you, Mike, and good afternoon, everyone. Thank you for joining us today for our fourth-quarter earnings call. I'm pleased to report that Workday had another strong quarter, capping off a great year. We continue to attract new customers, and many of our current customers are growing their investments with us. We now have over 2,600 customers, and our commitment to their success is demonstrated by our 98% customer satisfaction rate and broad referenceability. In Q4, we saw healthy demand across all product areas. Starting out with Workday HCM, we had another strong quarter as we continue to lead the market with our differentiated suite of products. In total, we added 10 new Fortune 500 customers and now have approximately 40% of the Fortune 500 using our HCM product line, including half of the Fortune 50. New customers include A.P. Moller-Maersk, Caterpillar, Sumitomo Chemical and Wyndham Worldwide Operations. We continue landing these large marquee accounts in no small part due to our proven ability to uniquely support our customers' high volumes of data and transactions. Notable go-lives in Q4 include Lloyds Bank plc, McKesson and Siemens AG. Switching over to the world of finance. Q4 was our best quarter ever for our Financial Management product line. In the fourth quarter, we added 79 core Financial Management customers, including four new Fortune 500 customers, two of which were net new customers and two of which who were existing customers that added on Financials. A few of the notable new Financial Management customers include Ryder Truck, Ameriprise and Banner Health. One interesting new trend is that we are beginning to see large enterprise companies now starting their finance and HR journeys with Workday Financial Management. This is a new development and something we view as a positive indication of the growing awareness of our Financial Management applications and the high levels of satisfaction our finance customers have experienced in the past several years. In addition to the strong growth from our core Financial Management Suite, we saw strong momentum in our second full-quarter selling the Adaptive Insights Business Planning Cloud. Indeed, it was an excellent quarter of execution within the core Adaptive Insights business, with over 200 new Planning customers for its stand-alone offering. We also achieved great success bringing Adaptive Insights into new large enterprise opportunities as add on sales into the existing Workday customer base, adding Planning in more than 50 new Workday platform deals and 30 existing Workday accounts. With Workday Prism Analytics, we had a record quarter in terms of number of new customers and again had triple-digit ACV growth, giving us strong momentum heading into fiscal-year '20. Indeed, our customers seem to be resonating with the idea of bringing any type of operational data securely into Workday in order to deliver better business insights and outcomes. Switching to the people front. A key part of our success continues to be our vibrant company culture, which allows us to maintain high levels of employee satisfaction and greatly helps us attract and retain talent across all levels of the company. To that end, I'd like to thank our entire team for making Workday No. 4 on Fortune's 100 Best Companies to Work For list in the U.S. Being a great place to work is something that Dave and I have cared about since day one, and it's an honor for the Workday team to be recognized on this prestigious list. As we look forward to fiscal year '20 and beyond, we will continue our relentless focus on innovation and expect to see continued momentum from our growing family of applications. We're confident in the pipeline we have built and the sales execution model we have in place. As such, we expect fiscal-year '20 to be another strong year of growth. I will now turn it to our CFO and Co-President Robynne Sisco. Over to you, Robynne.
Robynne Sisco: Thanks, Aneel, and good afternoon, everyone. Our fourth quarter capped a very strong year as we continue to demonstrate momentum across our subscription revenue growth drivers. We not only added a record number of net new customers in Q4, we also closed a record number of core Financials deals. Our high levels of customer satisfaction continued to drive strong renewal rates and add-on sales, supporting our thesis that satisfied customers not only become long-term customers but grow their relationships with us over time, both of which drive long-term shareholder value. Our subscription revenue grew 37% to $674 million for the fourth quarter and was up 33% to $2.386 billion for the full year. Total revenue was $789 million in Q4, reflecting growth of 35% from last year and $2.822 billion or growth of 32% for the full year. We continue to see global expansion as one of our growth levers, with total revenue outside the U.S. up 41% to $184 million in Q4, representing 23% of total revenue. Subscription revenue backlog was $6.74 billion, growth of 30% year over year, driven by strong net new bookings, success with add-on sales into our customer base and strong renewals, with net retention once again over 100%. Subscription revenue backlog that will be recognized within the next 24 months was $4.47 billion or growth of 29%. Our non-GAAP operating profit for the fourth quarter was $93 million or 11.8%. For the year, non-GAAP operating profit grew 35% to $291 million or 10.3% of total revenue. Benefiting from strong collections in Q4, operating cash flow for fiscal '19 was $607 million, representing 30% growth from last year. The integration of Adaptive Insights have gone extremely well. And the headwind to cash flow from the transaction and integration costs we incurred in the second half of FY '19 is now largely behind us. Current unearned revenue was $1.84 billion in Q4, up 29% year over year while, total unearned revenue grew 27% year over year to $1.95 billion. We successfully added and integrated more than 2,300 net new employees to Workday this year, which include approximately 500 from the Adaptive Insights acquisition, bringing our total employee count at year end to over 10,500. Operationally, we continue to execute well against our long-term vision, and our great second-half performance capped a very strong year. Now let me turn to guidance for fiscal 2020. As we enter the year, we see strong growth levers across all our products and geographies. We remain early in addressing our long-term opportunity, with most of our products still in the beginning stages of their growth curves. And you should continue to expect that we will reinvest any incremental top-line overperformance this year. For the first quarter, we expect subscription revenue to be between $692 million and $694 million, representing 33% year-over-year growth. For the full year, we are raising our subscription revenue guidance to a range of $3.03 billion to $3.045 billion, representing year-over-year growth of 27% to 28%. Sequentially, we expect subscription revenue to increase from the previous quarter by approximately 7% in Q2 and approximately 5.5% in Q3 and four. On the professional services front, we continue to value and support a growing SI ecosystem. Our partners are seeing robust growth in their Workday practices, and we will continue our tight alignment with them to ensure customers have successful implementations that support the highest levels of customer satisfaction and business value. We are expecting professional services revenue to be approximately $120 million in Q1 and $500 million for fiscal 2020, growth of 24% and 15%, respectively. Professional services margins will be slightly lower than last year as we continue to invest in programs to support customer deployments and to sustain our high levels of customer satisfaction. As we enter FY '20, I want to reiterate that we don't run the business to maximize either unearned revenue or calculated billings. As we discussed throughout this past fiscal year, our focus continues to be on new customer acquisition and long-term customer economics, which means that we will likely continue to see variability in unearned revenue throughout the year. We believe that our subscription revenue backlog is a much better gauge of the health of our business over the long term. And even though backlog will have some variability quarter to quarter based on contract duration and the timing of renewals, including early renewals associated with add-on business, unlike billings and unearned, it filters out the noise caused by varying invoicing terms. Based on our current outlook, we expect total subscription revenue backlog to have year-over-year growth in the high 20% range in the first half of the year. Given the accelerated growth we experienced in the back half of FY '19, the comps get more difficult in the second half of FY '20. So we are currently expecting year-over-year growth in the second half to be in the low 20s. Consistent with the preliminary outlook we gave last quarter, we expect a 200 basis point improvement in our non-GAAP operating margin for the full year, bringing our margin to approximately 12.3% for FY '20. The margin improvement reflects leverage as we scale, with continued investment in products and other areas of business to support our long-term growth aspirations. We estimate non-GAAP operating margins of approximately 13% in Q1 and expect a normal seasonal sequential decline in Q2 as we invest in our people through our annual compensation process. The GAAP margins for the first quarter and the full year are expected to be approximately 27 to 28 percentage points lower than the non-GAAP margins. We expect operating cash flow in FY '20 to be approximately $790 million or 30% growth. The non-GAAP tax rate remains 17% for FY '20. Our Pleasanton development center construction project will be completed this year, and we plan to begin occupying the building in Q2. The FY '20 capital outlay for this project will be approximately $130 million and be front-loaded toward the first half of the year. We expect to spend an additional $280 million in FY '20 to support our other capital needs, primarily related to investments in data centers to support our customer growth, leased facilities and corporate IT infrastructure to support our continued business expansion and large furniture purchases in Q1 as we prepare the development center for occupation. And finally, I'll close by thanking our amazing customers, partners and employees for their continued support and hard work, which allowed us to deliver great results this past year. We are still in the early stages of executing against our long-term vision as a company, but our progress wouldn't be possible without shared goals. We look forward to updating you on our progress throughout the year. With that, let's begin the Q&A process.
Operator: [Operator Instructions] Our first question comes from the line of Mark Murphy from JP Morgan.
Mark Murphy: I wanted to ask about the four Fortune 500 wins in Financials in a single quarter. It seems impressive. And just to clarify, I think two were HCM customers, which added Financials. Two, I believe you said, were net new. Does that mean that they were platform wins or Financials only? And then could you just comment in general on which incumbent systems are being replaced more commonly?
Aneel Bhusri: Thank you, Mark, for the question. You got that right, two were existing HCM customers. Chano can answer the question about the other two being Financials only, and we can come back to that. I would say, of the 79 new financial customers, we saw for the first time a pattern of financial only or financial first, frankly, was enough of group of companies to actually think of it as a pattern. It's the typical systems you'd expect to be replaced, the legacy ERP systems, including the one we know best, PeopleSoft, but the others as well, of basically, the large company incumbents.
Mark Murphy: Okay. That's helpful. And then, Aneel, just as a follow-up, we noticed a recent article alluding to the possibility of Workday reaching $10 billion in revenue in six years. And I guess I'm not sure if you plan to comment or address that, but I think the last multiyear target we heard from Mark Peek was $4 billion. And so I'm just curious if you're sensing some incremental confidence in starting to think about a much higher number and maybe just what mix of business would Financials contribute as the company becomes multiples of its current size?
Aneel Bhusri: Well, that number was really -- first of all, it's aspirational and was internal to our employees to get them excited about our future. We definitely feel like we have the market opportunity to get there. And it's all about the persistent growth rate over the next number of years in terms of how long we could get there. I have a ton of admiration for what Marc Benioff and Salesforce has done in getting to that and now passing that number, and we'd like to be the same. And we're not at a place yet to talk about the relative splits. All we can say is that our market opportunity across all of our different products is definitely sizable enough to get us there. And the reason we updated the goal is given guidance, we're going to be close to the $4 billion target. Well, I mean, we'll be in the north of $3 billion this year. So kind of keep people focused on the future, and we needed to think about the next targets to get people thinking about the long term internally.
Chano Fernandez: Mark, this is Chano speaking on the two net new core Fortune 500 Financials. They were platform deals.
Aneel Bhusri: Chano, do you want to comment on what you're seeing in terms of Financials only as well?
Chano Fernandez: Yes. As Aneel mentioned in his script, we are seeing a new trend where large enterprise companies now are leading their transformations with Workday Financials. And that's the key compelling discussion before we're discussing the HCM opportunity. So we see this as a new development, and we believe it's a positive indication of the reputation we have built with our product and customers in the marketplace within Financials.
Operator: Your next question comes from the line of Justin Furby from William Blair.
Justin Furby: I guess for either Aneel or Chano, I wanted to ask about the medium enterprise because I guess the tone from partners in that space has picked up quite a bit over the last six or nine months. I wanted to see if you're seeing that in your results as well. And if you could give a sense for sort of what percentage or some sense of the mix of your overall business today is medium enterprise, and when you look out longer term, you think that mix will go up, down, stay constant? Any sort of thoughts there would be helpful.
Aneel Bhusri: I think you are accurate in that we had a great quarter for medium enterprise. And we had a great quarter across all the parts of the business, but medium enterprise in particular grew faster than large enterprise, just given the number of accounts. And I think it's a testament to our lower-cost deployment model in that segment of the market really taking hold. Chano, do you want to add anything to that?
Chano Fernandez: No. I think you're right, Justin. We've seen strong growth. As we've said in all the calls, they usually are generally biased to the full platform, and it is clearly a testament of the go-lives, the value and clearly the lower implementation costs. And we're now more focused on driving the same basic implementation method already outside of the U.S. internationally as we go into FY '20 and beyond.
Justin Furby: Okay. That's helpful. And then I wanted to ask on M&A because it seems like the early results on Adaptive have been really positive. And Aneel, I'm wondering if that changes your view at all on M&A. When you look out over the medium term, do you think you could do another deal of that sort of size or even bigger? And what sorts of things are interesting to you from an M&A standpoint?
Aneel Bhusri: I don't know if that changes our perspective. We have a very narrow filter, and Adaptive fits that on so many fronts. Number one, we have very similar value systems. Adaptive is focused on their employees, on their customers and on innovation. Tom Bogan is a close friend for 15 years, and so integrations go well based on trust and cultural fit. And if you apply that filter, it narrows the group to a pretty short list of companies that fit. And I'm not going to comment on what industries or what spaces, but I think the Adaptive experience has been a great experience. I think a huge part of it is the cultural alignment. And where we've had misses in the past on much smaller opportunities, it's been also around cultural alignment. So that is the key factor for us. And I don't know, Tom, if you want to add anything to that.
Tom Bogan: No. I agree, Aneel. And I do think the cultural alignment is really important. And what I might add to that was the opportunity for Adaptive to leverage the core Workday sales force, particularly around large enterprise and international opportunities. Now I think that's one of the elements that's made this acquisition so successful in the early days.
Operator: Next question comes from the line of Ross MacMillan from RBC.
Ross MacMillan: I'm just curious, as you start to see this pattern change on Financials, either Aneel or Chano, do you feel you need to change anything in the sales org? And maybe specifically, is there an opportunity to create a sort of new motion -- stand-alone Financials motion? And then just as a follow-up, Robynne or Aneel, do you have the new ACV growth for Financials this quarter?
Aneel Bhusri: I'll let Robynne answer the second part. I think we have the right set of motions. I don't really think it requires a change in motions. I think it just means that as we engage with the customer, we should make sure we ask the question, "What is the scope of the project?" and not just default to, "Hey, they're going to lead with HR because that's been the pattern we've known for the last, let's say, five years but probably for the last decade." If that's changing, we just have to really listen to our customers and our prospects as to where they want to go first. I think overall, we're in a world of digital transformation. Those are the buzzwords that get used quite often, but it's true. And as the finance organization gets more comfortable with the cloud, and frankly, as our products mature and we continue to have success with deployments, it's very similar to what happened in the client/server wave as well. Client/server started out with products like HR and then got more into mission-critical applications like finance as of the technology matured. I think we're actually seeing a very similar pattern this time around. I'd also add that one of the reasons, I think, we're getting Financials-first conversations is that the Adaptive products are opening the door to the CFO earlier or in some cases, they're opening the door for the first time, and then we can have that broader conversation. So I wouldn't underestimate the power of now having a conversation, not just around core Financials but also around the Planning products from Adaptive and also the Prism Analytics on the analysis side. We can tell a full story around planning, execution and analysis. And that's key for the CFO community and the finance organizations. Robynne, do you want to comment on growth rates?
Robynne Sisco: Yes, absolutely. So our net new ACV Financials, Financial Management growth rate was still very, very strong. Keep in mind we had a tough compare from Q4 last year where we had some very large Financials wins as well, but it continues to be very strong and outpaced the HCM ACV growth. And that is driving revenue growth, over 50% still on the Financial Management side.
Operator: Your next question comes from the line of Mark Moerdler from Bernstein Research.
Mark Moerdler: Two questions. The first one is, can you give us some sense for these platform sales in terms of the revenue mix between HCM and Financials? And then I have a follow-up.
Aneel Bhusri: Chano, do you want to take that one on?
Chano Fernandez: Yes. I would say that you could tell approx a one is to one ratio, depends, of course, on additional SKUs in terms of the full scope that the customers may be buying.
Mark Moerdler: Perfect. And then as a follow-up, you're discussing how you're seeing not just the customer growth, but you're getting more revenue per customer. Can you give us a sense of what the drivers are that's allowing you to sell up? Is that selling new products since they're new customers? Is it sales of incremental usage? I know obviously, it changes all the time. But again, anything that can give us some color on what's driving the incremental revenue growth per customer.
Aneel Bhusri: It's generally the sale of additional modules. And I think I'd point to a couple of trends along that line. When you have happy customers, they definitely look to buy from vendors that they've had a good experience with. And once they're live with -- typically, a customer will start with core HR, maybe core HR and Payroll on the HR side, core accounting on the accounting side. Once they're live, they'll look to extend the footprint. So getting customers into production as quickly as possible and using our core capabilities then opens up the door for Learning, for Recruiting, for Prism Analytics, for Planning, for Time Tracking for those that didn't pick upfront Payroll. And so now that we have over 2,600 customers and 70% are in production, we have a big base of customers that are already up and running in our products. And it's just created a big base of opportunity to go back in and see what else would be useful to them.
Operator: Next question comes from the line of Keith Weiss from Morgan Stanley.
Keith Weiss: Very nice and strong close to FY '19. Two questions sort of looking forward into sort of the FY '20 guide. I hate to be kind of Debbie Downer, but what's the macro environment that you're thinking about in the forward year? And is there any indications that -- because I mean, there's definitely some macro indicators that are starting to cool and then slow down. Any indication that that's impacting your pipelines that are sort of getting you concerned as of yet? Or is just sort of the strategic focus on digitalization and financials just outweighing any macro concerns that guys have? And then maybe a follow-up question for Robynne on the margin side of the equation. I understand that sort of the focus of the company is still very much on sort of the growth side of the equation. Can you help us better understand kind of the puts and takes between sort of the more mature HCM business and the types of margins you're seeing there versus the Financials side of the equation where you're still putting a lot of investment in and how that kind of dynamic is impacting margins in the near term?
Aneel Bhusri: On the first question, I was at a conference and saw one of our large financial services customers talk about their view of the global economy. And I tend to really resonate with his point of view. He broke it into three buckets: businesses, consumers and then government. Generally, businesses and CEOs have a positive outlook on their businesses and on the environment. The global economy continues to move forward at a nice pace. The general global consumer is spending money and generally in a positive frame of mind. The wild card is government, and I don't think this is an environment that many of us really know how to predict. Government has become unpredictable across many parts of the world, and we don't yet know how that's going to impact business or maybe it fades away. But that's the way -- we're, I think, in wait-and-see mode to see, will any of the government -- the government question marks out there actually have an impact on the pipeline? But businesses are still focused on digitization. Consumers are still spending money. It's really the question now, are these trade wars, some of the other macro environmental things coming out of government going to impact our pipeline? And I think we're in wait and-see mode view rather than having any view right now. Right now, I would say we probably haven't seen it yet, but we're watching it very carefully.
Robynne Sisco: And Keith, to your questions on margin, so we've talked in the past about long-term margin targets, non-GAAP operating margin targets of 25%. And we're really pleased to see that our HCM business is already there on a fully loaded basis. And so that really gives us confidence that we've got a very strong long-term operating margin, and we can continue to expand toward that long-term goal over time. But as you know, we are still heavily investing, not only in Financials but in some of our other products such as Adaptive and bringing them into the Workday fold, Prism Analytics, Workday Cloud Platform, and building out a lot of our industry modules as well, such as inventory for healthcare and supply chain. So we're very much in investment mode, but the proof of the HR business right now really gives us a lot of confidence that as we move toward those long-term targets, they are very achievable in the long run.
Operator: Next question comes from the line of Heather Bellini from Goldman Sachs.
Heather Bellini: I actually had two for you. First, I was wondering, Aneel, if you could talk a little bit on SAP's decision to force migration to HANA. And I'm wondering if you see this as starting to help the pipeline of financial conversions. Are you starting to have conversations with customers about that even though it's obviously many years out? And then the other question was on Adaptive. You guys obviously sound like you've seen really good initial traction. I'm just wondering if you could highlight a little bit of the competitive environment here and what features are resonating the most with clients versus what you had before.
Aneel Bhusri: On the first question, Heather, I don't think there's any one factor we look at to increasing the pipeline. And a lot of the HANA customers that they're pushing toward are using Financials as part of distribution and manufacturing, and that's not really part of the sector we're targeting. I think overall, the cloud momentum that started with Salesforce in the world of CRM then moved to HR with Workday and ServiceNow with IT, is now coming to finance. And so when you look at the viable finance products in the cloud, it's actually a pretty short list. And so as people are looking to transform their finance operations and as part of that move to the cloud, it, frankly, tends to be much more about us and Oracle. And SAP doesn't really have a native cloud story, and so they really don't factor into the conversation as much. And I think what they're doing with HANA is kind of orthogonal to where we are since it's really affecting their manufacturing base on the finance side, and we're not really targeting that sector. Tom, do you want to comment on what's happening in the world of Planning?
Tom Bogan: Yes. Aneel, thank you. So I think, Heather, it's fairly similar to what we saw before the acquisition with a couple of important changes. So the environment for Planning continues to be competitive. It's a large and attractive market space right now. As Aneel said in the prepared remarks, we had over 200 stand-alone Planning wins this quarter. We had over 50 platform wins and 30 upsells within the Workday base. So I think the attractiveness of the Adaptive platform in large enterprise customers, that's one of the areas that we're seeing a lot of resonance. From a competitive standpoint, we continue to see HANA Plan. We continue to see Oracle and others from a competitive standpoint. But I would say one of the positive signs has been our traction with large enterprise customers, and those are more than FP&A use cases. That's holistic business planning across the organization where organizations are modeling all parts of their business and using Adaptive as a platform to model and plan all aspects of their business.
Operator: Your next question comes from the line of Kash Rangan from Bank of America.
Kash Rangan: Aneel, I'm curious, when we hear a lot about digital business transformation, I'm curious how you would describe the journey for your customers. Is it like a multipart, multiphase journey? And as that journey progresses and you choose to characterize it that way, how do the parts of the Workday product portfolio align with the journey toward digital business transformation?
Aneel Bhusri: It's a great question. And honestly, it changes every day. At the highest level, used to be 20 years ago, when you talked about HR, you would talk about HR with the HR leader and maybe IT. Today, you always still talk with the HR leader, but you also talk with the CEO, and that is a market change 20 years ago. And every company is trying to figure out or I would say every company that sees the world through the lens of employee engagement and how important is trying to engage their employees get better information on their hands, create great employee experiences. And so part of the transformation is, from an HR perspective, looking at HR as people engagement and employee engagement and, in some cases, partner engagement as opposed to traditional administrative applications the way they were thought of 20 years ago. And that is a big transformation, and it's a big change management project. And I think it's the same for finance. HR and finance together are going from being viewed as back-office operations in the world of client/server to front-office business partners to the CEO today. And finance is very focused on helping the business make the right decisions along the way to grow the business and make the business more profitable. And it's just a different mindset than the way client/server systems were implemented 20 years ago where it was just about automating business processes and making sure you could generate the right statutory reports. It's pretty massive. It's happening in every part of the business, not just HR and finance. And what we ask our customers to do is to really think about how they want to transform their business, not just move to a new platform because if they just move to a new platform, they miss the big opportunity, and the vast majority get that. And that was the reason why they switched.
Operator: Your next question comes from the line of Kirk Materne from Evercore ISI.
Kirk Materne: Maybe just to start. Actually, I had one for Tom just around Adaptive. Tom, I think Aneel that mentioned having you all there is actually opening the door to talk to more CFOs directly as they think about Planning and connected planning as sort of a strategic imperative. When you look at your customer base, how many of those customers have actually made a decision from a cloud financials perspective? Meaning, how much uplift -- obviously, there's a lot of uplift of you being pulled into the Workday customer base. But actually, how many of those Adaptive customers have yet to actually make a financial planning decision?
Tom Bogan: Yes. I think it's early days, but we're seeing a lot of interest. I can think of three specific customers that started with Adaptive, and that was the early part of the conversation, so that quickly led to financials decisions. Obviously, the planning decision cycle, it tends to be shorter than a financials decision cycle. And so that's what we'd expect. But I can let Chano comment on this as well. But I think we're seeing a lot of interest from financial organizations in Workday that the conversation is often starting with Financials, but we expect it's leading to discussions around Financials as well.
Kirk Materne: And maybe, I don't know if Aneel or Chano wants to take this. But when we think about the shift to more Financials first, is there any commonality from a -- are you seeing it start in one particular vertical or one particular region, meaning it's the U.S. in front of the international market? I'd sort of expect that to be the case. But I was just kind of curious if you could address it from maybe a vertical perspective and sort of a geographic perspective if you're seeing anything that stands out in particular on that front.
Aneel Bhusri: Chano, your thoughts on that?
Chano Fernandez: Yes, I can. Kirk, well, as you know, we'd mentioned before always that there are verticals where we see that is more a platform mode clearly and clearly would mention verticals like healthcare verticals, like education and some others, that it is more platform. I would say that outside of those, it is more where is the compelling event and the reason for change in terms of order of priority, right? So the change is that there is much more confidence as Aneel was mentioning, now better understanding on the benefits of moving toward the cloud and transforming. So if that company is seeing that they're burning platform or their opportunity for growth and their need for visibility or agility or the way that they're engaging with their customers or geographies or business areas, I think, having more impact starting with Financials, then they do start there. I wouldn't like to really finger-point to a particular vertical to be more prominent than other, other than the ones I mentioned. I think that's more the reason where they can capture more opportunity or really they have fall a little bit more behind the investments that are required to compete and to have the visibility they need on today's business landscape.
Operator: Your next question comes from the line of Alex Zukin from Piper Jaffray.
Alex Zukin: So I'll try to ask about pipeline both for HCM and Fins, if you could compare it to this time last year in terms of size and mix. And then maybe just for Robynne, what are you seeing on renewals at this point with respect to pricing uplift and expansion?
Aneel Bhusri: Chano, I think that first question is for you.
Chano Fernandez: Thank you, Aneel. Alex, thanks for the question. We have strong or solid pipeline that we can create to start it at the beginning of the year and clearly to the end of first month of our first quarter. So it's going to be a question more of the execution, which is I think a good place to be. In terms of the percentage of pipeline, clearly, Fins needs to keep it growing faster as a total of the mix. Obviously, as the mix is still higher, that is not a massive movement in terms of percentage of points, but it is a significant movement. So clearly, the Financials one is growing faster as a percentage of the mix, as you would be expecting. So that's good.
Robynne Sisco: And Alex, on your renewals question, so we continue to see very, very strong renewals. With net retention rates over 100%, growth over 95%, we continually hit those marks quarter after quarter and did so again this time. We've got really strong add-on history as well and had great add-ons in Q4. And I think that the dedicated customer base sales team that Chano put in place at the beginning of last year has really, really paid off, and we're seeing very strong add-on sales.
Operator: Your next question comes from the line of Derrick Wood from Cowen and Company.
Derrick Wood: I guess for Aneel or Chano, you guys are clearly putting up strong growth in Prism Analytics, but I think penetration rates are still fairly low. So do you think we could see much greater adoption in the installed base this year? And what would be the key reasons for that?
Aneel Bhusri: We'd hope so. It's a great product that's still relatively young, and so it continues to gain capabilities. And I think the big part is bringing out very specific use cases like People Analytics, so we would expect that the Prism Analytics momentum continues. And I would hope -- well, I'm not going to give a time frame, but I would hope that over half of our customers will be using Prism over the next several years, and we're not anywhere near that level of penetration yet. I don't even think we're at 10% penetration yet. So there's a tremendous opportunity. And a big part of it is Prism is metadataware of Workday HR and finance. And if your analytics are HR finance based, it's a phenomenal platform to bring other operational data into to do deep analysis. And that's what our customers are experiencing, and I think that trend's only going to continue. I think one of the things the team did a really nice job with is making the ability to bring in third-party data much simpler than what systems have been like in the past, and then the visualization is much better than what systems have been like in the past. And so we continue to invest in those areas, but it's a very exciting product, and I expect it to continue to gain adoption rapidly.
Derrick Wood: And just a couple of quick ones for you, Robynne. Anything unusual with invoicing timing this quarter? And then in terms of the 30% growth in backlog, was there any impact from a duration standpoint there?
Robynne Sisco: Yes. Nothing to call out on the invoicing front. I mean, we will still continue to see some fluctuation based on that, but nothing I would call out in Q4. And on the subscription revenue growth, we did see a slight uptick in duration, which is not unusual when we have a lot of large deals as we did this quarter. So that was a small piece of it.
Operator: Next question comes from the line of Richard Davis from Canaccord.
Richard Davis: Two quick tactical questions. So one, since you're keeping Adaptive independent -- I think the answer is yes, but anyway, can an Adaptive rep cross-sell an HR deal and vice versa? And then the second question is, you've done a good job bringing down the implementation costs, and I know that's not easy. Is there still material room for improvement?
Aneel Bhusri: On the second piece, there's always room for improvement, but we've taken it down in the medium enterprise from $3 spent on integration to $1 software to closer to one is to one. And so that is pretty much best in class. And I think that's why our win rates in the medium enterprise have gone up so significantly. As it relates to the first question, we definitely believe in the stand-alone business of Adaptive. And so the Adaptive team will continue to sell the Business Planning Cloud into Workday accounts and non-Workday accounts. But at this point, we're not leveraging the Adaptive team to sell the Workday products. They'll obviously send over the leads, but we're not doing that. There is definitely an opportunity down the road. Right now, we just want to be very focused on continuing the momentum that the Adaptive Planning team have built around the Planning products, Adaptive Insights built around the Planning products. Tom, anything you want to add to that?
Tom Bogan: No. That's right. I mean, we've set the incentives in place, as Aneel said, to make sure that the Adaptive team is incentived to work very closely with the Workday team. And so far, we're really pleased with what we've seen so far.
Operator: We will take our final question from Brian Schwartz of Oppenheimer.
Brian Schwartz: One question, just on the topic and the message about seeing the new pattern in the core financials platform demand in the large enterprise market. Is it possible to stack-rank the drivers of what's causing that between, say, market maturation, the enterprise SaaS versus, say, competitor challenges or, say, something specific with your go-to-market strategy?
Aneel Bhusri: I personally think it's just the maturation of the market. And so if customers believe that they're equally OK to go down the path of starting with HR or starting to finance, they'll focus on whatever platform is burning at a higher level. And if they view the finance platform, legacy platform, being the one that's on fire, they're going to replace that one first. So I think the biggest driver is the companies now view finance as becoming more mainstream for the cloud and therefore are prioritizing which of their platforms is the one that needs to be replaced the soonest. I wouldn't really tie it to competitors or to a different sales strategy. Our sales strategy has been pretty much the same, and I think it's been the right one the last several years. I think it's the maturity of both the view of financials in the cloud and our products.
Operator: This concludes the Workday Q4 Call. Thank you, everyone, for joining us today.
Aneel Bhusri: Thank you.